Operator: Good afternoon and welcome to the MGM Resorts International Third Quarter 2018 Earnings Conference Call. Joining the call from the company today are Jim Murren, Chairman and Chief Executive Officer; Dan D'Arrigo, Executive Vice President and Chief Financial Officer; Corey Sanders, Chief Operating Officer and Grant Bowie, CEO and Executive Director of MGM China Holdings Limited. Participants are in listen-only mode. After the company's remarks, there will be a question-and-answer session. In fairness to all participants, please limit yourself to one question and one follow-up. Please note this conference is being recorded. Now, I would like to turn the call over to Mr. Dan D'Arrigo. Please go ahead.
Daniel J. D'Arrigo - MGM Resorts International: Thank you, Phil, and good afternoon and welcome everyone to the MGM Resorts International Third Quarter 2018 Earnings Call. This call is being broadcast live on the Internet at investors.mgmresorts.com and we have furnished our press release on Form 8-K to the SEC this afternoon. On this call, we will make forward-looking statements under the Safe Harbor provisions of the federal securities laws. Actual results may differ materially from those contemplated in these statements. Additional information concerning factors that could cause actual results to materially differ from these forward-looking statements is contained in today's press release and in our periodic filings with the SEC. Except as required by law, we undertake no obligation to update these statements as a result of new information, updates or otherwise. During the call, we will also discuss non-GAAP financial measures and talking about our performance. You can find the reconciliation to GAAP financial measures in our press release, which is also available on our website. Finally, this presentation is being recorded. And with that, I'll turn it over to Mr. Jim Murren.
James Joseph Murren - MGM Resorts International: Well, thank you, Dan, and good afternoon, everyone. We're pleased to announce that our third quarter results came in ahead of expectations with solid overall performance, despite of course the year-over-year challenging comparisons that we faced here in Las Vegas. Company continues to generate strong cash flows and we're focused on appropriately allocating the capital as it aligns with our overall strategic objective. In the third quarter, we distributed $64 million in quarterly dividends and we've repurchased $176 million of stock, demonstrating our commitment to returning capital to the shareholder. We remain focused on bringing our consolidated net leverage down to between three to four times by 2020 as we grow our cash flows including the benefit of all of our new properties and as well as we manage all of our debt level. We're all well aware that the third quarter was challenging in Las Vegas given the strong comparisons in the prior year, which of course benefited from two fights, strong table games volume, high hold and a favorable convention calendar mix. In the third quarter this year, there were 120,000 fewer large-scale convention attendees citywide. This resulted in of course heavy reliance on leisure channels and the summer months ended up acting more like the traditional summer months that we've seen historically. While our Las Vegas Strip RevPAR was down year-over-year, it was ahead of our guidance and we still achieved our second best third quarter RevPAR on record. By the way, our convention mix in the third quarter was also our third best. Our regional properties continued the strong growth we've seen over the last three years. We delivered a 5% increase in EBITDA to $207 million. And in fact our Mississippi properties, MGM Detroit and MGM National Harbor, all had record third quarter. Our regional strategy to operate the premier assets in key markets continues to prove successful and we're maximizing the value of these assets. We're also continuing to strengthen our position internationally. Over in Macau, we experienced revenue growth of 37% to over $600 million. Adjusted property EBITDA increased over 7% to $130 million. MGM Cotai started out slowly, continues to ramp in the third quarter and the property though experienced a pretty low hold, which impacted its adjusted EBITDA by about $16 million in the quarter. On August 24, we successfully opened MGM Springfield and the property is already off to a good start. We've received great feedback from our guests who have enjoyed the unique environment and our fellow community members who have welcomed the fresh wave of energy and the local opportunity to the town of Springfield and Western Mass. more broadly. While it's still in its early days, we're encouraged that the resort is performing in line with our expectations on both the gaming and non-gaming side. Here at home in Las Vegas, we're reaching the final stages of the Park MGM transformation. Earlier this month, in fact on October 12, we officially opened the NoMad on the top four floors of the building. MGM and the Sydell Group headed by Andrew Zobler has truly created something special here and it is a unique destination in Las Vegas. Looking ahead in the coming weeks, we'll open up a couple new restaurants and a nightlife concept. We open Eataly at the end of the year and our front entrance, all of which will be done in December. Looking ahead, the current quarter is shaping up nicely as we're already seeing the benefits from the expected increase of over 800,000 large-scale convention citywide attendees. We expect this improving convention-based business to ease some of the competitive pressures that we've seen in the leisure channel and that we anticipate our Las Vegas Strip RevPAR will be up 1% to 2% and overall revenues will be up slightly. We also expect our Las Vegas margins to be flat to up slightly as well. We're maintaining our full-year guidance of our Las Vegas Strip revenue and EBITDA declines in the low single digits and adjusted profit EBITDA margins of around 29% or 30% excluding Park MGM. And so if we look ahead to next year in the group business, we're pacing ahead of previous years. And we expect MGM's group room nights be up again and we expect to gain market share, driven by the expansion of MGM Grand's convention space and of course Park MGM. We're also already having success placing groups in shoulder periods, which we believe will allow us to better yield the rest of our portfolio. And by the way, Las Vegas was recently selected the number one North American destination in 2019 by Carlson Wagonlit Travel, up from number 10 a year ago. The reason cited in that survey is the strength of the U.S. economy and the ability of Las Vegas as a market to provide high-value experiences for the larger meeting planners, specifically in the higher-end corporate segment, which bodes well for us. And before we turn it over to Q&A, I want to reiterate some of our financial and operational priorities and our strategy to creating shareholder value. Number one, we're going to continue to maximize the performance of our businesses across our entire domestic resorts portfolio. We expect moderate revenue growth through our continuous improvement effort and an ongoing disciplined approach to both top line and cost control that we believe will drive margin improvement and organic profit growth. Secondly, we're continuing to invest in our business to maintain and grow our competitive advantages. And by ramping up our newly opened properties like MGM Cotai, MGM Springfield, Park MGM, we expect to accelerate cash flow and free cash flow. We're continuing down our path to a more asset-light model. And with respect to MGP, we intend to work on our target of reducing our economic ownership stake to below 50% over the next three years. We're singularly focused on the goal of generating consolidated adjusted free cash flow of $3.50 per share in 2020. And ensuring a stringent and disciplined approach to capital allocation, this will include being very targeted in growth opportunity. And in Japan in particular, our sports initiatives and our interactive business and in digital, achieving and maintaining a fortified balance sheet and of course returning capital to our shareholders. And so with that, I'd like to turn it back over to the operator for Q&A.
Operator: We will now begin the question-and-answer session. The first question comes from Joe Greff with JPMorgan. Please go ahead.
Joseph R. Greff - JPMorgan Securities LLC: Hey, guys. I was going to say good morning, but old habits die hard, good afternoon.
Daniel J. D'Arrigo - MGM Resorts International: Hi, Joe.
James Joseph Murren - MGM Resorts International: Hi, Joe.
Joseph R. Greff - JPMorgan Securities LLC: Jim, hearing your comments and going through your earnings release and the slide deck tonight, I see and I hear the language on your capital allocation priorities and they're unchanged from a quarter ago. I just want to make sure that's the case, particularly with regard to maybe opportunistic large-scale M&A? Under what scenario or scenarios would larger scale M&A make sense for MGM, Jim?
James Joseph Murren - MGM Resorts International: Sure. And Dan just told me, I said 800,000 instead of 80,000. So 80,000 is pretty good. 800,000 would be off the rails, so clarification there. So in answer to your question, I would refer everyone back to our deck. I think it's slides like 5, 6, 7. And that would guide I think the thinking that you should have around M&A. Our focus here is to maximize profitability of our businesses and our cash flows. And we are going to be very prudent now and in the future in how we allocate capital around all of our growth strategies. The board feels this way and management does that it's incumbent upon us to consider any deployment of capital, whether it's new growth opportunities, M&A or otherwise, through the lens of being acutely focused on weighing on whether or not we can return a very high return in excess of our cost of capital. Absent any clear strategic or financial rationale that would be through that lens, we're going to continue to return capital to our shareholders. In sum, we like the hand that we're dealt right now. We like our assets. We like the condition of our assets. We like the fact that we've moved out of a development phase into a harvesting or free cash phase. We like our management teams here running these properties. We like our opportunity of winning in Japan and doing well interactive and nationally here in sports and that is the focus of the board and the company.
Joseph R. Greff - JPMorgan Securities LLC: Great, thanks. And then my second question and this is likely for Corey. As it relates to the Las Vegas Strip, I'm looking at next year and I'm guessing your visibility on group and events is stronger in the first half than the second half. So maybe you can answer it, what happened in 2H? Corey, can you share with us group room nights and revs on the book now versus year ago. Jim, you mentioned the pace is up. And then can you talk about the number of events that you have on the book versus what you had a year ago? And then specifically, can you talk about Mandalay Bay's 2019 group room nights position and maybe to get a sense of that recovery, how that compares relative to this time two years ago? Thank you.
Corey I. Sanders - MGM Resorts International: Sure. On group room nights for 2019, and I think you're right, Joe, I'm looking at it in first half and second half, but as we look at the entire year and as we look at also what's out there from a citywide perspective, we expect to be up. What we have on the books right now is pacing extremely well and we believe that we'll gain some market share in the group room night area. And in particular, LVCVA, I think, came out and said that they're going to be up 1%, 1.25%. We believe we will do much better than that on what we see on the books. And the comfort there is we have about 80% of what we think is going to be on the books already on the books. And that's probably the highest we've been in the last, ever since we've really started our budgeting process. From an event perspective, it's – that's also really hard, because we know where hockey's on the books and what other sporting events are on the books and there will be more events there, but that is also looking pretty positive. With regards to Mandalay Bay, Mandalay Bay will be up next year on convention book room nights. It's still not quite where we'd like to see them, but they definitely will have a nice increase compared to this year.
Joseph R. Greff - JPMorgan Securities LLC: Thank you, guys.
James Joseph Murren - MGM Resorts International: Thanks, Joe.
Operator: The next question comes from Felicia Hendrix with Barclays. Please go ahead.
Felicia Hendrix - Barclays Capital, Inc.: Hi. Good afternoon. Thank you. Jim, just wanted to talk about your fourth quarter RevPAR guidance for a second, the up 1% to 2%. I'm just wondering you have a lot kind of going on still because you had calendar issues in October, you still have Park MGM and obviously Mandalay, which is still ramping. So if you adjust for all of that, what would RevPAR guidance have looked like?
James Joseph Murren - MGM Resorts International: Well I think what we're focused on are two things. One I would I – I reread my transcript from last quarter and I think everyone should reread it as well. We have factored everything into this and we feel that this is appropriate guidance to give. There are gives and takes in every quarter and we took all that into account. We like how this is setting up, I will say that, given all the factors that you just mentioned and given what we've seen early days at Park MGM and what we know about the Mandalay month-to-month-to-month calendar in the fourth quarter. But I think we're going to stick with a very specific, but without too much color, RevPAR guidance.
Felicia Hendrix - Barclays Capital, Inc.: Okay. I mean you understand that I was asking kind of what impact those items had on your outlook, right.
Daniel J. D'Arrigo - MGM Resorts International: Yeah. So, Felicia, just to add to Jim's comment, I mean when you look at last year and obviously the events on 1 October impacted a lot of things, but it mostly impacted occupancy. And so when you look at rates, rates were pretty healthy, convention room nights in the fourth quarter last year despite what happened in this city were up 30% plus in the quarter. So – despite what happened, there's still some positive things that occurred in the fourth quarter and a little bit of what kind of transpired in the third quarter had to shake itself out and has done so here in October. So that's all been, to Jim's point, kind of taken into consideration with respect to the guidance.
Felicia Hendrix - Barclays Capital, Inc.: Okay. And I think that probably gets to my next question, which is asking it in a bit of a different way because if you look at the two-year RevPAR stack in the third quarter, you were up slightly, right, like 30 basis points and then the fourth quarter, it implied too your stack is negative. So I think just looking at the fourth quarter last year, which was bad in terms of RevPAR, I think that deceleration might be surprising to folks.
Daniel J. D'Arrigo - MGM Resorts International: Yeah. I think and I'm going from memory and you're testing because I'm getting old. But in the fourth quarter 2016, we had a few shows in there that actually rotated out and were very profitable shows for us, particularly at the MGM Grand, if I recall. So again, I think we're looking at this on a micro level within our portfolio and taking all these factors into consideration.
Felicia Hendrix - Barclays Capital, Inc.: Okay. But if we look at it on an absolute basis, I mean given everything that you said, it does not sound like you are seeing kind of slowing trends, it sounds like actually you guys are kind of on the move forward and up and recovering, correct?
James Joseph Murren - MGM Resorts International: Yes. And I mean I think we've talked about this three months ago. What we thought we would see in the fourth quarter and what we said three months ago we're seeing.
Daniel J. D'Arrigo - MGM Resorts International: Yeah. And the pace in all channels look really good for the fourth quarter.
Felicia Hendrix - Barclays Capital, Inc.: Okay, great. Thank you.
Operator: The next question comes from Harry Curtis with Nomura Instinet. Please go ahead.
Harry C. Curtis - Nomura Instinet: Hi, good afternoon. Wanted to start with CapEx on the wind-down of your bigger projects. It looks like there's roughly $300 million left to spend in China and about $80 million in Massachusetts. How long do you expect that to wind – take to wind down?
Daniel J. D'Arrigo - MGM Resorts International: Typically, Harry, those sometimes take longer, but typically it's about a six to nine-month process. The pieces in Macau, little bit on the close-up on the original construction, but also include the completion of the VIP rooms as well as The Mansion and the President's Club. But I would say that typically it's a six- to nine-month process post the opening assuming everybody's working together.
Harry C. Curtis - Nomura Instinet: All right. And is Grant on the call?
Daniel J. D'Arrigo - MGM Resorts International: Yes.
Harry C. Curtis - Nomura Instinet: Grant, are you awake?
Grant R. Bowie - MGM China Holdings Limited: Harry, I am. Good morning.
Harry C. Curtis - Nomura Instinet: And good morning to you. Just testing, I was – I wonder if you could give us your perspective on the growth that you're seeing in the mass versus VIP – there's clearly concerns that the VIP is slowing. And do you get a sense that it's taking – that the VIP is taking a breather or do you think that it's more likely that there's some shrinkage in that business and what does that mean and if you would address the mass as well for the kind of ramp of the property over the next six months?
Grant R. Bowie - MGM China Holdings Limited: Okay. So on market conditions first. I think it's been pretty consistent from all the people who have come out and we're saying the same thing that yes, it seems like after what has been a relatively good period of growth of junket, they have slowed. I think there is probably some impact from a whole series of conditions, they've been opening a lot of rooms. Clearly market conditions in China are a little more volatile. Critical point I'll make on the junket though is that there still seems to be a lot of liquidity. And what this seems to be is much more of a controlled pause rather than the effect of running out of liquidity which, as I think you understand, is really critical in that segment. So I think what we're all expecting is a little softness for a little while until we can get – we stabilize. For us though, we're still pretty confident because we're opening our other rooms and that's going to be a positive for us. Clearly, we'd like more growth in the market because that will help us increase our share and that leads us to the mass. Mass business continues to be more robust and more resilient than the VIP simply because of the nature of the business and obviously it's much for debate. Like always, the mass business is just not one element, there is a series of components. And while the mid to lower mass is still very strong, there is, similar to the VIP, a little bit of a slowdown in the growth in some sectors at the top end. But again, talking specifically on the property and the ramp up, once we get the President's Club done and the Mansion done and all those construction things out of the way, we're very, very positive that that will allow us to build our base and we'll continue to see that. As you will see in the quarter, Harry, we had a decent sort of luck effect and some of that was actually a result of the ramping up because you tend to get a bit more volatility and that volatility is just part of that process. If you didn't get it, then you probably weren't going to get the business. So in summary, market growth, I think we're all consistent around that high single, early double digit, probably flat for junket going through and obviously it was a better performance than mass. But it's going to be slightly different over the range of mass customers. For our property, positive signs, traffic improvement for Cotai. But I also just want to lay the point that we're also very focused on driving business into Macau. The cannibalization there has stabilized at about 12%, 13% and so we've got great opportunities to continue to grow and establish that. So we're getting through the difficult phase of the ramp and now we want to see some momentum from that.
Harry C. Curtis - Nomura Instinet: And just as a housekeeping, Mansion and President's Club timing of completion please?
Grant R. Bowie - MGM China Holdings Limited: President's will be before the end of the year, December. And we're working really hard to get some of the Mansion villas available for Chinese New Year. And we have good grounds to think that's going to happen. So that's a big positive for us.
Harry C. Curtis - Nomura Instinet: Okay, very good. Thanks, everyone.
James Joseph Murren - MGM Resorts International: Thanks, Harry.
Operator: The next question comes from Shaun Kelley with Bank of America Merrill Lynch. Please go ahead.
Shaun C. Kelley - Bank of America Merrill Lynch: Hey. Good afternoon, everyone. I was just wondering if we could go back to Las Vegas for a minute. Last quarter, it felt like we were seeing some signs of promotional activity as it sort of acted over the summer and people were, as I think you guys mentioned, forced to kind of react to lighter convention business. As we move into Q4, are you seeing any signs that some of that, I guess, deeply discounted package tour and promotional activity has abated and that that was sort of just kind of a one-off necessary to bridge that weak period or just how would you characterize the promotional environment in Vegas?
Corey I. Sanders - MGM Resorts International: Hey Shaun, it's Corey. In general, I think whenever you have the base of convention in FIT, there is less promotional activity. So, there's peaks and valleys almost every quarter. I think obviously the fourth quarter, there will be a lot less of that with the citywides coming in. But in general, it's pretty similar to the way it's always been and probably got a little deeper in the third quarter. It's probably coming back to some normalcy in some periods of the fourth quarter, but there are still periods like right before the holidays where there is softness, just general softness that usually occurs that people are going to get the rooms filled.
Shaun C. Kelley - Bank of America Merrill Lynch: Great. Thank you. And then just one sort of bigger picture strategic question, Jim, in some of your earlier comments, I think you alluded to large-scale M&A and how that might fit into your strategic framework. I was sort of wondering if you could address maybe some of the more smaller, tactical, regional strategy you've taken on, I mean, as you've basically now got the operations of both Empire City and Hard Rock Rocksino, how do those, broadly speaking, kind of fit into the portfolio and is there appetite to do more tactical things that build out the regional network even if maybe something larger scale didn't fit those guardrails and how are you considering those types of opportunities out there?
James Joseph Murren - MGM Resorts International: Sure. Well, I think that MGP is going to be very opportunistic and aggressive and I'm sure James Stewart will speak to that on his call. And I would, just from our perspective at MGM Resorts, we see a lot of interesting M&A activity for the triple-nets in general in the space, which we're rooting on James there. As it relates to MGM Resorts, we viewed the Yonkers and the Ohio opportunities as unique and distinctive and in exception to a rule. We are very optimistic about the future of New York City as a broad-based gaming market in the future and we're incredibly impressed with the operational performance and the free cash flow generation of the Rocksino in Ohio. Those are very few and far between opportunities. I would view them both very opportunistically. Our market access deal with Boyd really answers the question for us as to whether or not we need to own a physical asset to maximize the opportunity in sports betting and the answer is we do not. We do not need to own or operate physical assets in order to maximize that opportunity. And so M&A, any M&A, whether it's large or small, would have to be scrutinized against those strategic objectives that I talked about earlier and they have a big hill to climb because we really like what we got. As I said, we really like our assets. It's not lost on us that we have the most profitable assets in every regional market, in Mississippi, in Michigan, in New Jersey and of course we're the largest profit generator here in Nevada and of course in Maryland as well. And so it would be inconsistent with our strategy to look at opportunities that are second tier relative to what we already operate at a premier fashion and it would have to fit the lens of those goals that I mentioned and the free cash flow of $3.50 a share in 2020 and the leverage target that I talked about of three to four times during that same period of time. And all of that would be measured against increasing the dividend in MGM Resorts and buying back stock at what we believe, to be very attractive level.
Shaun C. Kelley - Bank of America Merrill Lynch: Great. Thank you very much.
James Joseph Murren - MGM Resorts International: Thank you.
Operator: Okay. The next question comes from Thomas Allen with Morgan Stanley. Please go ahead.
Thomas G. Allen - Morgan Stanley & Co. LLC: Hey, good afternoon. Just to clarify something on the Las Vegas Strip. So, you highlighted that third quarter performance exceeded your expectations. And then you reiterated your full-year guidance. Should we imply that you're more cautious about the fourth quarter or is it you're giving broad based comments? Thanks.
Daniel J. D'Arrigo - MGM Resorts International: Hey Thomas, this is Dan. I don't think there's anything to imply there. I think when you look at the guidance that we had given for the third quarter, obviously a pretty wide range. We've narrowed the range in the fourth quarter to compensate for that as well as the fact that we came in and did a little bit better. We said we are going to be up in the fourth quarter and our guidance reflects that for Q4. And I think other than that, I think we beat this horse pretty well earlier in the call, so I don't think there is anything to read into it other than it all ties together from how we're thinking about and left the guidance vis-à-vis our prior comments.
Thomas G. Allen - Morgan Stanley & Co. LLC: Perfect. And then just talking about Park MGM, can you talk a little bit about the cadence of the ramp, if there's any changes to that? I saw that you signed up Britney for another residency there. How should we think about the costs and then kind of the revenue ramp there? Thanks.
James Joseph Murren - MGM Resorts International: Are you fishing for tickets there, is that the...
Thomas G. Allen - Morgan Stanley & Co. LLC: Exactly.
James Joseph Murren - MGM Resorts International: Got a few things on the ramp, and really, I hope you all get to see this soon. It's really quite remarkable in our view and we've done a lot here. As I mentioned, the NoMad opened on the 12th of this month. The NoMad bar is open. The High Limit area is open. The lobby is open now, and it's been really positively received. All the Park MGM rooms are done and the rest of the NoMad rooms, because we opened up with two floors, will be completed and operational by November 10. The NoMad restaurant, which is a stunner, it's in the old Race & Sports Book, so you can imagine the volume of the space, that opens on the 14th of November. We open up the entire Strip in early December. We open a noodle shop that Corey named La La Noodle on December 12 for some reason. Roy Choi opens a restaurant called Best Friend, that opens on the 15 of December. Eataly opens on the 27th of December, the nightclub venue opens on the 28th of December, that's the day Lady Gaga starts her extended shows at Park Theater, which you can imagine the response to that, particularly post her great movie. Britney starts in February, Aerosmith in April. We've never had a line-up of performers that we've had ever as it relates to Park MGM. So, the ramp should be nice going into the Western New Year's period, certainly a hot spot during Knights home games and going into next year, literally everything will be done. And so it's been painful. It's been a long, arduous process, but it's worth the effort. And I think you'll see pretty rapid ramp up of cash flows as all those elements come into place for 2019.
Corey I. Sanders - MGM Resorts International: And what I would add is, sort of the first half of 2019, even with those events, I think it will be very positive. We still have some rooms that are coming in under the current trends, but by the second half, we'll start seeing that price to where we will – closer to where we'd like to be. I would say 2020 is more focusing on even making that mix even more productive and focusing on our margins. And then I think around 2021 is when we should see the full ramp at the property.
James Joseph Murren - MGM Resorts International: Yeah. I think that's fair, Corey. This is a new property basically and so new brand, new property, it's going to – we expect it to go through a ramp up like MGM National Harbor did to where it's doing extraordinarily well now and the way MGM Springfield is right now, we expect that to ramp up from an absolute cash flow perspective in a determined fashion. We expect the same kind of focus at Park MGM.
Thomas G. Allen - Morgan Stanley & Co. LLC: Perfect. Thank you.
James Joseph Murren - MGM Resorts International: Thanks, Thomas.
Operator: Okay. The next question comes from Carlo Santarelli with Deutsche Bank. Please go ahead.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Hey, everybody, good afternoon and thanks for taking my question. So for starters, Corey, you talked a little bit earlier about the 2019 pace and obviously having the base on the books has been something that obviously over time has shown a nice ability – you've shown a nice ability to kind of better yield-manage or better price, I should say, some of the leisure rooms. When you think about having that better base for 2019, as well as some of the competitive pressures that you mentioned from peers on the leisure side, is part of the strategy there to maybe keep the group rate a little bit more enticing to get that business on the book so that you are able to flex on the leisure and transient side in 2019?
Corey I. Sanders - MGM Resorts International: The way we've always approached the convention is we really do price to market and there are times in softer periods we'll adjust the rates. Obviously, we'd much rather have a higher convention rate than a lower-end leisure package rate. So, yeah, we do that flexibility quite a bit. Another thing we've learned especially in this third quarter in particular is flexing our database and we think there is still an opportunity there. We know our competitor outmuscles us, especially in Las Vegas and how they fill in particular some of their core rooms. So we think there is an opportunity there also to help once again build that base to yield up to a higher level where we don't necessarily have that dependency on the OTA that we experienced in the third quarter.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thank you. And then just if I could touch quickly on the 4Q RevPAR guidance as well as kind of the moving parts, you talked a little bit about Strip net revenue being flat to up slightly. Is there anything in there on the gaming side that would kind of – if you just think about the three components obviously with RevPAR up and you guys obviously surpassed your expectation for this quarter. So, if we assume the 1% to 2% in the fourth quarter, on the gaming side, the comparison is fairly easy. I think you guys last year had fairly normal hold, but obviously saw some of the impacts from the events of 10/1 on slot handle and some of the other gaming metrics. Is there anything in there that maybe you're being particularly conservative about or were there some one-off events later in the fourth quarter that might have been a little more additive?
Corey I. Sanders - MGM Resorts International: Well, I think, Carlo, I think we were relatively in a, I'd say our norm – our current normal range last year on the casino side in terms of table games hold, although I think it was north of 25% last year. So, we typically forecast the kind of the midpoint and from that standpoint, so there's a little bit on the casino side when you look at where the hold is coming into play there. And then it really comes down to, December comes down to the last week of the month and who shows up, particularly on the casino side, on the high end for Western New Years. And so that's usually where fourth quarters are made or broken is really over that Western New Years kind of last four or five days of a month kind of comes into play. So, we're using the data we have to kind of run that – run those counts and those forecasts and I think that's kind of where we're landing at on those two fronts.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. And then just Dan, since you mentioned just on that fourth or sorry, somebody?
James Joseph Murren - MGM Resorts International: Well, I was just going to say that I think you have mentioned about the event calendar, there's really no change this year versus last year.
Daniel J. D'Arrigo - MGM Resorts International: We have two more hockey games on that.
James Joseph Murren - MGM Resorts International: Yeah. But I mean in terms of tent-pole events, concerts, fights, et cetera, we're pro forma-ing a pretty similar quarter.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Okay, great. And just around the holidays this year, is there anything with the way that especially December the way New Year's will fall and stuff, it looks like it could be slightly beneficial. Is that the way you guys are interpreting it?
Corey I. Sanders - MGM Resorts International: It could be, just the way the holidays are falling kind of early in Monday, Tuesday kind of combo. So you could see kind of a double weekend effect, so to speak, with the folks coming in Friday, Saturday, leaving on Sunday and a new group coming in for the New Year's. But that's the traffic pattern that we've got to kind of wait and see how that starts to fill in, in November and December.
Carlo Santarelli - Deutsche Bank Securities, Inc.: Great. Thanks a lot guys. I appreciate it.
Corey I. Sanders - MGM Resorts International: Thanks, Carlo.
Operator: The next question comes from David Katz with Jefferies. Please go ahead.
David Katz - Jefferies LLC: Hi, afternoon everyone. I wanted to ask two questions. One is that I know you've indicated previously that MGP is the stake that you would sell down over the next three years. I wonder if you could shed some light or provide some color around why three years, why not one, two or five or how did we arrive at that pace?
James Joseph Murren - MGM Resorts International: Sure. Maybe I'll tackle then Dan you could go on.
Daniel J. D'Arrigo - MGM Resorts International: Sure.
James Joseph Murren - MGM Resorts International: My expectation is that MGM Resorts' economic interest in MGP will decline. I don't know whether we'll sell any shares. I expect that MGP is going to grow, grow I think as rapidly as it has grown since it's gone public, and grow with other operators. And in doing so, our economic interest will go down. It's a target of ours that we think is a reasonable target. When we articulated last quarter, we have expectations that MGP is going to continue to grow rapidly and in the meantime, we're rooting them on.
David Katz - Jefferies LLC: Understood. And if I can ask a second question, just I know you've given some data points and some insight around 2019. But given that we've spent – we've talked quite a bit about guidance and the structure of guidance this year, are there any thoughts that you can share about what the structure of next year's guidance might look like?
Daniel J. D'Arrigo - MGM Resorts International: Yeah, sure, David. This is Dan. I'll take that one. We've been obviously talking to a lot of you all on this call, both from sell side and buy side and we've been working through this quite a bit. So, as we get into 2019, our approach is we're not going to eliminate guidance. We're going to modify it and speak to kind of one quarter out, both in terms of our overall net revenues here in Las Vegas as well as a subset of that being continue to give you one quarter out guidance around RevPAR and EBITDA margins from that standpoint, and help you model out both from the sell side and the buy side each one quarter out from that perspective, we think that's more prudent and more useful to the investment community.
David Katz - Jefferies LLC: Perfect. Thanks very much. Thanks for taking my question.
Daniel J. D'Arrigo - MGM Resorts International: Thank you, David.
Operator: Okay. The next question comes from Robin Farley with UBS. Please go ahead.
Robin M. Farley - UBS Securities LLC: Thanks. I actually originally had a different question, but then just a follow up on a comment you made in answer to kind of talking about getting – making sure that you get your fair share or more of group nights next year. Can you give us a little bit of color around if group rate is down slightly and I understand that's probably still a significant percentage higher than those rooms going to the tour and travel distribution? So maybe if you could just kind of talk a little bit about what the sort of the rate – group rate down still gives you what advantage over the leisure package mix?
Corey I. Sanders - MGM Resorts International: Yeah. I'll answer that, Robin. If group rates are down a little, it's not going to have not much of an impact at all. It's a lower percent of our room mix than any other segment we have. What it allows us to do is yield up the other segments and pick and choose some of the okay segments that we want to focus on and center on. So more importantly than the rate, it's the base that it provides us to be able to drive the additional yield out of our rooms.
Unknown Speaker: Yeah, and Robin, if I can add to that a little bit. Sometimes there's a little more nuance in that as well, it's not just a mix, it's a phase mix within the calendar throughout the year. So sometimes if we can play through in typically shoulder periods, after Labor Day, things like that, after holiday periods, that certainly helps the overall portfolio and helps us to hold the portfolio as a whole.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thanks. And on your 2020 goals, maybe if you could just – you mentioned that you were happy with your assets and things like that, didn't necessarily need to do a large-scale transaction. Does your 2020 goal include potentially though some M&A activity or is that a 2020 goal without any additional M&A, small or large?
Daniel J. D'Arrigo - MGM Resorts International: Robin, that's just what we've known at the time, which was essentially MGP's acquisition of Rocksino and nothing more than that. We didn't bake in any future deals on the acquisition front into that goal. That's status quo new development projects that obviously come online and MGP's purchase of Rocksino.
Robin M. Farley - UBS Securities LLC: Okay. Great. Thank you. And I don't know if you would take one last one, which is actually just switching back to Macau. Just given the concession expiration in 2020 and I guess the language of the contract says that a new concession would have to be in place six months ahead of time, which would be September of next year, so now kind of less than 12 months away. I wonder if you could tell us about how you're thinking about approaching kind of what your approach is over these next 10 months and whether you're expecting to be asked to make a commitment to, a financial commitment to infrastructure build or what types of things you're kind of doing in preparation for these next few months?
James Joseph Murren - MGM Resorts International: Grant, could we give you that one or do you want me to tackle it?
Grant R. Bowie - MGM China Holdings Limited: Thank you, or maybe we both do it. And I think Robin, what we've always said is we continue to be in dialogue with the government and we are obviously specifically working through it and we're quietly confident, probably more than that, that we'll be in a position to do that. We obviously do expect that there may be some expectations that we need to work through, but those discussions are still ongoing with government and it's really going to be up to the government to make that final decision. Anything more to add, Jim, on that?
James Joseph Murren - MGM Resorts International: Yeah, the only thing I'd add, Grant, is that I don't think the government has any expectations. They're going to go right up into the last moment here. The discussions are ongoing and prompt and timely.
Robin M. Farley - UBS Securities LLC: Thanks. And just so that free cash flow goal for 2020 includes anything over and above what you would have to do as part of that process. Is that fair to assume?
Daniel J. D'Arrigo - MGM Resorts International: In terms of what, in terms of additional capital expenditures or?
Robin M. Farley - UBS Securities LLC: Exactly, like in other words, your free cash flow over and above any additional capital commitments that you'd be making for that process.
Daniel J. D'Arrigo - MGM Resorts International: That's right, yeah, no, we would measure it in terms of us achieving that. And looking at whatever investment we would consider, it would have to significantly enhance that. Otherwise it's just, as Jim said earlier, sticking to our strategy and what we have on our plate right now and staying focused on that and returning capital to shareholders if that's the best use of that capital.
James Joseph Murren - MGM Resorts International: Yeah. And I think what Robin was asking is, are we anticipating whatever it is we might have to do, is it within that free cash flow per share. And we are comfortable with that free cash flow per share target of $3.50 given everything that we know including our hope and expectation and our license is extended in Macau.
Robin M. Farley - UBS Securities LLC: Thank you. Thanks very much.
James Joseph Murren - MGM Resorts International: Thank you.
Operator: Okay. The next question comes from John DeCree with Union Gaming. Please go ahead.
John DeCree - Union Gaming Research LLC: Good afternoon, everyone, and thank you for taking my question. We've gotten a few questions over the last couple of weeks from investors about outbound Chinese visitation to the U.S. and any potential impact that we might see on Las Vegas. I think I remember some prior estimates is that that business is kind of a low single-digit composition of your Las Vegas business. So was wondering if you could kind of put some parameters on that and if you had any comments about what you're seeing in your business perhaps from Chinese visitors to your properties in the U.S. or maybe just more broadly, international trends that you're seeing in Las Vegas.
Corey I. Sanders - MGM Resorts International: Sure. John, it's Corey. On the high-end side, it's actually the business has been pretty good and pretty strong still. We've seen very little impact at all on the ultra high-end customers and that level play. On the low end or the just the normal consumer, it is a very small percentage and many of them come in tour buses and tour groups and are mainly at the lower rate. So there's been maybe a slight impact, but not enough material to impact our business. It's just not a big enough piece of our business.
John DeCree - Union Gaming Research LLC: Okay. That's fair enough. Thanks, Corey. And I had one separate question, follow-up, perhaps Jim, not sure we got through an hour here without talking about sports betting in much detail. Recent partnership with the NHL, I think there was a new CEO appointed to your JV with GVC and I was wondering if you could spend a minute or two kind of high-level updating us on the progress of the JV at GVC and I guess your thoughts on some of the early days of sports betting we've seen in New Jersey and Mississippi so far?
James Joseph Murren - MGM Resorts International: Sure. Yes, I was with Commissioner Bettman yesterday inking the NHL deal which we're very proud of. And that you add to that one the NBA deal we did about three months ago and of course, the JV with GVC. First, we'll maybe start with the JV. Board has met several times. We have hired a terrific CEO that has deep experience came from GVC. The infrastructure has been put into place in terms of the governance. Hiring is underway, office sites are being scouted as we speak. Partnerships for the JV and other forms of technology, sports content, et cetera is underway. We know we picked the right company in GVC. They are relentless, they're aggressive, they're smart. They feel the way we do about the opportunity in the United States, not only in sports betting, but in the whole interactive platform. They're rooting us on as relates to our league relationships that we're forming. And between the two of us, we've been reaching out in a targeted way to a variety of sports teams, not only within the four major sports, but more broadly globally in other sports as well. As it relates to early days, we're already doing as much business in Borgata as any of our luxury properties do out here from almost a standing start and we're doing equally well in Mississippi. I think our playMGM app is finally now into the Apple Store.
Corey I. Sanders - MGM Resorts International: In New Jersey.
James Joseph Murren - MGM Resorts International: In New Jersey, which is a big positive development. And we're working literally on a state-by-state basis with the appropriate state agencies to help those states craft the best legislation for the respective states. I can't overemphasize how exciting we think this is going to be over time for the bricks and mortar business of MGM Resorts as we develop global partnerships, global relationships with customers and cross market to our existing resorts. And I could say that the early days are – given us great confidence of that, both in terms of New Jersey, of course, but here in Las Vegas. And we expect the states to roll out in kind of a predictable fashion over the next few years and we expect to have a very large percentage of the total interactive market here.
Corey I. Sanders - MGM Resorts International: And what I would add also is we've heard comments like it's going to ruin Las Vegas business. Our Las Vegas business is up actually tremendously important both in – we mainly look at the major sport of football pro and college is up over 50%. Our mobile is up over 60%. So I think the whole thing is beginning to take off with the legalization of it.
John DeCree - Union Gaming Research LLC: Very helpful, thanks.
James Joseph Murren - MGM Resorts International: I think the last point I'd make on it that the approach that I have – I've very much admired the approach the leagues are taking, which is an evolving philosophy as it relates to sports betting here in the United States and the aligned values that we have with the leagues and the teams in terms of the integrity of the product, the importance of data getting the greatest in-game betting experiences, it's going to be a very competitive marketplace. There are a lot of fine companies globally that are already participating in sport spending and interactive in general and we just intend to be the leader in it, that's all.
John DeCree - Union Gaming Research LLC: Thanks, Jim. Appreciate the update.
Operator: Okay. The next question comes from Stephen Grambling with Goldman Sachs. Please go ahead.
Stephen Grambling - Goldman Sachs & Co. LLC: Hey, thanks for sneaking me in. Two quick questions, I guess, first, as you execute along a path to asset-light, how does your thinking about leverage levels change? And then second, looks like MGM Grand was a bit of an outlier in the quarter with solid growth year-over-year and I think even outperforming Bellagio for really the first time in looks like almost a decade. Were there any specific benefits in the quarter that we should think about as we model that going forward? Thanks.
Daniel J. D'Arrigo - MGM Resorts International: Sure, Stephen, I'll try to tackle those for you. Corey will probably chime in on the Grand. The Grand had its best third quarter ever and it benefited on the casino side. And that's the great thing about the portfolio we have. They benefit on the casino side, which obviously positively impacted their results to the detriment of some of our other properties that they hold as well. But that's the power of the portfolio. As far as leverage on the asset-light model, we still have our goal of three to four times leverage by 2020. And I don't see us changing from that perspective. Whether it be current state or whether it be more asset-light going forward, it's probably just not a good use of – I believe not a good use of our capital to be anywhere lower in terms of that leverage.
James Joseph Murren - MGM Resorts International: Correct. And not a good use of my sleeping hours to be any higher. So we like the zone. It's a fortressed balance sheet. We have – certainly we have a lot of opportunities within our control to become asset-lighter over time and we intend to evaluate all those. But the board and management talks a lot about that leverage zone. It's been a goal of ours since 2009 and we're approaching that and we intend to stay in that zone and return anything to shareholders in excess of our free cash as long as we're staying in that zone. Corey, did you have something on the Grand versus Bellagio?
Corey I. Sanders - MGM Resorts International: Yeah. It did hold extremely well, yeah.
Stephen Grambling - Goldman Sachs & Co. LLC: Yeah. Thanks. Maybe – just had one quick follow-up to John's last question on sports betting. How do you generally evaluate the value of partnering with national leagues versus the individual team?
James Joseph Murren - MGM Resorts International: They're not mutually exclusive and I think you'll find us being strategic on individual teams as well. It starts, I think, with a shared philosophy which we have and a shared trust and familiarity and a common purpose. We just can't afford to have anything go awry here in sports betting and I think what has attracted the leagues that we've transacted with to MGM is our single-minded focus on the propriety of the product. And so I think we felt it was important to establish a couple of tent-poles, which we expect to continue to evolve over time. As it relates to individual teams, we're in a vast number of discussions with teams across the country and in fact around the world. And I think it comes down to the same core principles I just mentioned with the leagues, to have a shared vision of what sports betting in the interactive experience could mean to the players of those teams, the teams' values themselves, the fan experience and engagement within the venue, the broader fan engagement outside of the venue. And some teams have a more constructive view on this than others. And I think it's just going to be a matter of going through all that. The key to all of this and why GVC is so important, but why the league relationships are so important is the technology, the product and the data that we can utilize. And I think that's why we looked at the interactive business in a holistic way. We know we have great brands, but so do our competitors, some of them – not many, but some of them. We needed to have great technology. We have found that in a great partner. We have very strong government relationships, which are a strength here. We're noted as a company in problem gaming, in responsible gaming and from an integrity perspective, which bodes well in talking to teams and to leagues. And of course we've established a vast advantage in sports by our history of whether it's the MGM Resorts Summer League here with the NBA or the Las Vegas Aces. We're helping house the Vegas Golden Knights, of course, helping bring the soon-to-be Las Vegas Raiders to Las Vegas. It's a matter of making sure that we utilize these in a holistic way and using the leagues and their content to help our properties, which is why we are hosting multiple events at, say, Mandalay Bay, multiple venues here at Bellagio, Aria, et cetera.
Stephen Grambling - Goldman Sachs & Co. LLC: Thanks. That's all. Super helpful color.
Unknown Speaker: Very last quick question please.
Operator: Okay. The next question comes from Cameron McKnight with Credit Suisse.
Cameron McKnight - Credit Suisse Securities (USA) LLC: Hi, good afternoon. Thanks very much. A question for Corey or Jim. What percentage of room nights in the quarter were allocated to your casino block and how does that compare to the ordinary mix of casino room nights?
Corey I. Sanders - MGM Resorts International: Yeah, it's something we usually don't share, that we were definitely up in that area and we used that as a strategic component. But in general, it's usually bigger than the convention block, but smaller than our FIT block and we think there's opportunities to really move that up a few percent.
Cameron McKnight - Credit Suisse Securities (USA) LLC: Okay, got it. Thanks. And then a question for Jim, I mean there's been a lot that's been spoken and written about resort fees, paid parking and other initiatives that have been taken over the last couple of years. Are you seeing any pushback from customers on the Strip?
James Joseph Murren - MGM Resorts International: We, I think one of the data points I just pointed to in that large-scale convention booker is the value proposition that Las Vegas represents. The U.S. economy, as it has grown has made Las Vegas on a relative basis even a more attractive destination from a price perspective. And we monitor this against all of our major competitive cities around the country and in fact around the world. So, it has been something that we always focus on. We don't think it has been an issue. We always evaluate these market conditions. And we look at not only the data we have, but the data that the LVCVA puts out and we know that from an ADR perspective, we're still much lower than cities like Orlando or Chicago or Hawaii, and – but we continue to tweak it and we always will.
Cameron McKnight - Credit Suisse Securities (USA) LLC: Perfect. Thanks very much.
James Joseph Murren - MGM Resorts International: Thank you. And I guess I just want to thank everyone for joining. I know we ran a couple of minutes over. But I appreciate your interest today. Obviously, we had a challenging quarter, but did a little bit better than we expected. We're setting up nicely here in the fourth quarter next year. And we are absolutely utterly focused on delivering on our strategic objectives, which we reiterated in the investor deck, including that $3.50 a share of free cash flow in 2020 and without it. Thank you very much.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.